Operator:
Operator instructions.:
 Scott Hoffman(?) – Financial Dynamics: Thank you, Operator, and good morning, everyone. By now you should have received a copy of the company’s Q3 2006 earnings release. If you have not, please call our offices at 212 850 5600 and we’ll be sure to get a copy sent to you. On the call, we have Lakshmi Naravanan, President and Chief Executive Officer, Francisco D’Souza, Chief Operating Officer, and Gordon Coburn, Chief Financial Officer of Cognizant Technology Solutions. Before we begin, I’d like to remind you that some of the comments made on today’s call and some of the responses to your questions may contain forward-looking statements. These statements are subject to the risks and uncertainties as described in the company’s earnings release and other filings with the SEC. I would now call like to turn the call over to Lakshmi. Please go ahead, Lakshmi.
 Lakshmi Naravanan – President, Chief Executive Officer : Thank you, Scott, and good morning everyone. Thank you for joining us today for our conference call. This morning I’ll provide an overview of the highlights of Q3 and the strategic enrichment we are steadily making in the business as well as our industry-leading growth that keeps us ahead of the curve in meeting customer demands. I’ll be joined on today’s call by our COO, Francisco D’Souza, who will give color on the drivers of our success here in the quarter, and our Chief Financial Officer, Gordon Coburn, who will take us through our numbers in greater detail. Turning to highlights of Q3, we are pleased with our strong financial performance and tremendous growth across the company. Our success this quarter was driven by our ability to leverage Cognizant’s leadership in our core vertical markets and service offerings, to bring new business from both new and existing customers. We had particularly strong performance in our healthcare and life sciences verticals, which posted 19% sequential growth and 86% growth compared to Q3 2005. As usual, we continued to benefit from our leadership position in our financial business, which grew 12% sequentially and 54% YoverY. During the quarter, we capitalized on the strong demand on our entire portfolio of service offerings marked by impressive growth in areas of recent enrichment, such as ERP, CRM, high-end vertical BPO and IP infrastructure management. I’m also pleased to report that we have seen strong momentum in our newer customer markets across the globe, particularly continental Europe, where growth exceeded the company average again this quarter. Turning to the financial results and looking at our Q3 results in detail, we once again exceeded expectations generating $377.5 million in revenue, which represents an increase of 60% from Q3 2005. GAAP EPS was $0.40 for the quarter, up from $0.37 last quarter. We had a net increase of 57 clients during the quarter, including those added to our AimNet acquisition, and our number of strategic accounts – those with the potential to generate between $5 and $40 million or more in annual revenue for Cognizant over the long term increased by five. Our GAAP operating margin was 18.2% and our non-GAAP operating margin which excludes stock-based compensation expense was a really strong 20.2%, at the top end of our long-term target range of 19% to 20%. Overall, I am very pleased with our strong financial and operating performance in 2006 so far, Cognizant has already accelerated past the $1 billion annual revenue mark, and we are increasingly confident in the strength of our operating platform as we move into the next phase of our growth. As demand for our services continues to escalate, we recognize the importance of building the necessary foundations to support Cognizant’s growth and generate the flexibility we need to growth the company as an industry-leading group. Before I turn the call over to Frank, I’m also pleased to report that the management transition we announced last quarter is progressing according to plan. I anticipate a very smooth transition under Frank’s leadership as we move forward with our growth plans for 2007. I would now like to turn the call over to Frank, who’ll give color on some of the operational highlights in the quarter and the emerging growth areas for Cognizant. Frank?
 Francisco D’Souza – Chief Operating Officer: Thanks Lakshmi, and good morning, everyone. As Lakshmi mentioned, I will briefly discuss several of the key drivers of our financial and operating success during the quarter. I’ll also discuss several of the strategic investments we have made in our infrastructure and our service offerings that are moving us quickly to the next phase of our growth. Then I’ll turn the call over to Gordon, who’ll take you through our financials in greater detail. Our success in growing the company while consistently maintaining our operating performance and client satisfaction is a testament to the effectiveness of our long-term reinvestment strategy. In order to maintain operating performance and rapid growth simultaneously, we carefully focus our investments on internal infrastructure to manage our operating performance and also in areas that allow us to maintain or develop leading positions in key markets. I’d like to touch upon key investments that we have made during Q3 in each of these two areas. Let me start by providing some color around the investments that we are making to develop a leading position in key markets. Our financial performance is the result of an increasingly diversified revenue stream every quarter. We consistently make investments which distinguish Cognizant as a market leader across our core vertical businesses and horizontal service offerings. Our Q3 results reflect our ability to leverage Cognizant’s leadership in these markets, both to expand our strategic customer relationships and also to win new business. The success of our approach is evident in the performance of our healthcare and life sciences business where as Lakshmi noted, we further strengthened our market leadership during Q3. In healthcare where we count three of the top five care organizations among our customers, we now have over 4,000 associates serving the industry segment. In 2006, Healthcare Informatics Magazine ranked Cognizant number 21 on their list of top healthcare IT providers. We continue to see robust growth in this industry, driven by clients who have engaged Cognizant to help them address the IT issues associated with regulatory compliance requirements such as the Medicare part, the drug benefits and National Provider Identifier, consumer-driven healthcare and industry consolidation. These solution offerings are strong examples of the results of our investments in building our healthcare industry domain expertise. Our healthcare vertical is one of the oldest at Cognizant and as a result of over a decade of serving this industry and building our industry expertise over that time, we are now able to capitalize on opportunities to help care organizations re-engineer their business processes and develop state of the art solutions far beyond technology skill-based services. We are now helping healthcare players enhance the quality of services they provide to their members, meet enrolment target objectives and integrate related back-end processes. Healthcare companies are increasingly transitioning from paper to electronic processing and many of these companies have turned to Cognizant to increase their operating efficiencies through business process management and workflow automation engagements. For example, a large payroll organization has engaged Cognizant to implement an imaging and workflow system which streamlines health insurance application processing. This system fundamentally changes the way health insurance underwriters utilize technology and positions our customer at the vanguard of new technology adoption. In addition, as the healthcare industry consolidates, our portfolio rationalization and systems consolidation services provide our customers with a comprehensive assessment of systems integration, risk, and opportunities as they seek to strengthen their businesses through mergers and acquisitions. Another area where we have been investing to develop a market-leading position is in our life sciences business, where we continue to expand wallet share among our top pharma customers. Today we count seven of the top 10 global pharmaceutical companies and five of the world’s largest biotech companies among our customers. Our success and recognition as a market leader stems from the depth and breadth of our life sciences vertical which we have build by serving the life sciences industry over almost 13 years, dating back to our first engagements with IMS Health. As with healthcare, we have systematically built our domain expertise in life sciences by actively building internal knowledge repositories, investing heavily in developing core capabilities for life sciences customers in FDA and EMEA regulation and establishing ourselves as thought leaders in various life sciences industry forums. As an active participant in the life sciences industry for many years, we have been able to observe, participate in and shape the outcome of many key industry wide initiatives. We have built a leadership position with over 2,200 staff whose domain knowledge and expertise in developing solutions across the spectrum of the life sciences value chain, from discovery to commercialization, has established Cognizant as one of the top outsourcing providers in the pharmaceutical and life sciences industry. An example of the success of our investments is the fact that Cognizant is now recognized as an industry leader in services relating to CRM systems for the life sciences industry. Our services in this area range from multi-country, Siebel CRM implementation, implementations for several of the world’s largest pharmaceutical companies to large-scale enterprise customer implementations for a global pharmaceutical company and one of the largest biotech firms. These services demonstrate our ability to combine our life sciences expertise with our technology and project and program management expertise to drive significant value for our customers. We believe that these markets will continue to offer tremendous potential for Cognizant in the years ahead. As you know, we significantly enhanced our IT infrastructure services business with the acquisition of AimNet Solutions Incorporated, a managed infrastructure and professional services firm, in September, another example of the investments that we are making to develop a market-leading position in key areas. The acquisition provides us with an even stronger ITIS service offering, led by Ed Nalbandian, the former managing partner of AT&T’s managed network solutions organization, a state of the art network operations center in the US, a world-class scaleable infrastructure management software platform, an infrastructure services consulting organization and a strong base of customer relationships. Through the on-target management platform, a multi-million dollar investment made by AimNet before we acquired the firm, we are able to run global network operations centers on a single platform and move work seamlessly around the globe. For critical services like ITIS, this blended model has the implicit back up and facilitates a severe level of business continuity. The integration has been very successful thus far and we have already generated a number of new client opportunities. Today we are managing or monitoring approximately 1.3 million elements across a broad spectrum of infrastructure, spanning servers, batch jobs, applications, databases and network devices. ERP is another area in which our strategic investments have been driving significant growth over the last several quarters. Because of our strong relationship with SAP and the deep knowledge of the next generation NetWeaver platform, cultivated at our NetWeaver test center, we have further extended our track record of winning strategic deals for complex, large-scale implementation and support against other top players in the manufacturing industries. During the quarter, we had four large SAP customer wins in the healthcare, financial services, life sciences and manufacturing industries. The industry breadth of our SAP wins this quarter is a demonstration of the fact that our SAP strategy is now extending across most of the major industry verticals that we serve. Business process outsourcing is another service area where we saw substantial growth in Q3, driven by strong client demand for our vertical BPO services. During the quarter, we won several new clients, including a leading building materials supplier, home mortgage lender and an oil and gas accounting services firm. We now have BPO head count in excess of 850, representing over 100% growth since the beginning of the year. As we have emphasized in the past, our BPO strategy is focused on industry-specific processes, such as back office reconciliation, claims processing and clinical data management. These are all areas where we believe that Cognizant holds a distinct competitive advantage, stemming from our investments in our industry vertical businesses. We combine the cost benefits of offshore outsourcing with our process system optimization expertise to create a unique customer value proposition. For examples, Cognizant is working with the equity research department of a leading Wall Street investment bank to automate data collection tasks and generate new content that will use improved research. Prior to engaging Cognizant, the bank relied on a cumbersome manual process for collecting large volumes of data. This process restricted the bank’s speed and the ability of the analysts to expand their areas of research. Since our engagement, the client has seen an improvement in delivery timeliness of more than 97% and data error rates of less than 1%. The combination of process automation and economies of scale have produced significant cost savings for the clients while enabling its analysts to focus substantially more time on analysis rather than data aggregation. Today we are seeing robust BPO activity across a broad spectrum of sectors including banking and financial services, healthcare, life sciences and utilities. Over the coming quarters, we expect to grow our BPO business aggressively with the object of making Cognizant a recognized leader in providing reliable, cost-effective and value-added outsourcing solutions that effectively address our customers’ complex business process environment. I would now like to turn to investments that we are making in our infrastructure to sustain our growth. During Q3, we continued to expand our people, geographic and physical infrastructure to prepare ourselves for substantial growth on a global scale over the next year. In building the foundation for future growth, we aggressively invested in building our employee base, increasing our headcount by over 15% sequentially and adding about 4,700 employees around the world. We were very pleased with our ability to attract the best talent in the industry, a testament to Cognizant’s reputation as an employer of choice in our industry. During Q3, we saw a reversal of the positive attrition trends from earlier this year. For the first six months of 2006, our annualized attrition of 13.2% was running about two percentage points below our annualized attrition of 15.3% for the first half of 2005. Yet attrition in Q3 increased to about 20%, four percentage points higher than in Q3 2005. It is important to note that our YTD annualized attrition is approximately 15.5%, roughly equal to our attrition rate for the same period during 2005 and that attrition is an issue that our entire industry is facing. Historically we have experienced an increase in attrition in Q3, as those employees returning to graduate school leave the company. However, the recent increase was certainly higher than we expected or desired. Based on our extensive exit interview process, higher education ranks highly but no single factor accounts for the recent increase. We also recently completed our employee satisfaction survey which is conducted annually by the HayGroup. Overall satisfaction is up from last year, the second consecutive year of improvement. Our overall scores improved across all geographies with a significant improvement in Europe reflecting the investments we have made in that market over the past year. Reflecting our company strategy, customer satisfaction and quality continues to be our highest rated category. We refresh the employee satisfaction survey every year for relevance to ensure that we’re capturing feedback on the current issues affecting employees. Fundamentally, we are committed to returning attrition to its normalized levels and ensuring that our employees have world class opportunities to develop their talents and careers within Cognizant. Our October numbers show lower attrition rates than Q3 and we will continue to closely monitor the trend. We continued to build our European business by focusing on building our infrastructure by country to meet the growing demand for our services, particularly in northern Europe, France and Germany. We have built regional management teams and distributed Cognizant veterans around the world to further develop our European infrastructure and focus on the unique needs of customers in each country to more effectively serve our existing customers and address the long-term opportunity Europe represents for Cognizant. As we announced this morning, we continue to make significant investments in our global infrastructure by building out our campus footprint across India to enhance our flexibility as we grow the company. This program involves the construction over 3 million square feet of office space in India, across five cities, demonstrating our commitment to staying ahead of our growth by proactively planning our investments and capacity. We will be investing over $200 million to expand our own infrastructure over the next two years. Gordon will provide you with more details on our plans later in the call. Overall, we are very pleased with our performance this quarter. Now I’ll turn the call over to Gordon, to walk you through our financials and infrastructure expansion program in greater detail. Gordon?
Gordon Coburn – Chief Financial Officer: Thank you, Francisco, and thank you, Lakshmi. Good morning to everyone. I would like to provide some additional information on Q3 and then discuss our financial expectations for the remainder of this year. Revenue for Q3 significantly exceeded our prior guidance and expectations due to continued application management ramp-up of clients we have won over the past few years, as well as continued greater-than-anticipated strength in discretionary development spending. Quarterly revenue grew 12% sequentially and 60% YoverY. YTD revenue was up 59% compared to the first three quarters of 2005. During the quarter, we continued to see healthy volume growth across a broad range of services and industries. During Q3 our financial services segment, which includes our practices in insurance, banking and transaction processing, grew by approximately $64 million YoverY and represented 48% of revenue for the quarter. Healthcare grew over $40 million and represented 23% of revenues. Retail, manufacturing, and logistics grew by over $16 million, representing approximately 15% of revenues for the quarter. The remaining 14% of our revenues came primarily from other service-oriented industries including telecoms, media and new technology, which grew by over $20 million compared to Q3 of last year. During the quarter, financial services grew by 54% YoverY and 12% sequentially. Healthcare grew 86% YoverY and 19% sequentially. Growth in our healthcare segment was driven by the numerous life sciences clients we have won recently and are now ramping up as well as expansion of the work we do for our healthcare peer clients. Retail, manufacturing and logistics grew 44% YoverY and 6% sequentially, and our ‘Other’ segment grew 65% YoverY, and 9% sequentially. For the quarter, application management represented 52% of revenues and application development was 48%. Both services grew significantly in Q3. On a YoverY basis application management grew 62%, and application development grew 59%. On a quarterly sequential basis, application management grew 14% and development grew 10%, reflecting the strong demand environment for our entire service offering. During the quarter, 86% of revenue came from clients in North America, Europe was 13% of total revenue. The remaining 1% of revenue came from the Asian market. Our European business grew 16% sequentially and 87% YoverY as we continued to invest in that region. We added 83 new customers during Q3, 37 of which were from our acquisition of AimNet. We closed the quarter with an active customer base of approximately 330 clients. During the quarter, the number of accounts which we consider to be strategic and have the potential to become significant revenue sources for us in the future increased by five, bringing our total number of strategic clients to 82. We ended work for approximately 26 clients during the quarter, almost all of which were very small clients. Turning to costs, on a GAAP basis cost of revenues exclusive of depreciation and amortization increased 63% for the quarter as compared to Q3 2005. Q3 cost of cost of revenues included approximately $3.4 million of equity based compensation expense. The increase in cost of revenues is due to additional technical staff, both onsite and offshore, required to support our revenue growth. We increased our technical staff by close to 4,500 during the quarter and ended the quarter with almost 32,250 technical staff. This is a net increase of over 11,000 technical staff from September 30th of 2005. SG&A, depreciation and amortization expenses were $100.3 million on a GAAP basis, up from $60.3 million in Q3 2005. GAAP SG&A expense in Q3 including approximately $4 million of equity based compensation expenses. GAAP operating income for the quarter increased 46% to $68.8 million compared to $47 million in Q3 2005. On a non-GAAP basis, which excludes the impact of $7.5 million of equity based compensation expense, our operating income for Q3 was $76.2 million, up 62% from last year. Our GAAP operating margin was 18.2% for the quarter and our non-GAAP operating margin for the quarter was 20.2%, slightly above our target range of 19-20%. Interest income for Q3 increased to $4.8 million compared to $2.2 million in Q3 2005. Interest income increased due to our higher global cash and short term investments balance as well as an increase in short-term interest rates. We had a $600,000 foreign exchange loss during the quarter. Our GAAP tax rate for Q3 was 16.3% bring our YTD GAAP tax rate to 16.5%. Turning to the balance sheet, our balance sheet remained very healthy. We finished Q3 with over $535 million of cash and short-term investments, up over $111 million from the beginning of this year and up over $67 million from June 30, 2006. During Q3, operating activities generated approximately $87 million of cash. Financing activities, primarily the exercise of stock options, generated approximately $21 million of cash. These amounts were partially offset by approximately $26 million of capital expenditures, and $15 million for the acquisition of AimNet. In addition, we generated approximately $100,000 of cash due to currency translation adjustments. Our collection of trade receivables during the quarter continued not to be as strong as we would have liked. Based on our $297 million balance on September 30, we finished the quarter with a DSO, including unbilled receivables, of 72 days compared to 67 days for the same period last year and 72 days in Q2 of 2006. During Q3, excluding unbilled receivables, our DSO was approximately 62 days. The quality of our receivables portfolio remains very strong. Our unbilled receivables balance was approximately $43 million at the end of Q3, up about $18 million from September 30, 2005 and up $4.5 million from Q2 of this year. The increase in unbilled receivables resulted primarily from the timing of billing milestones and more importantly, the volume associated with our continued revenue growth. During Q3, overall 24.2% of our revenues came from fixed-bid contracts, down from 25.2% in Q2 2006 and unchanged from the 24.2% level in Q3 2005. When we look at the mix by solution type during the quarter, 29% of our development revenue and 20% of our maintenance revenue came from fixed-bid contracts during the quarter. Turing to headcount, at the end of Q3, our worldwide headcount, including both technical professionals and support staff, totaled approximately 34,365. This represents a net increase of about 4,700 people during the quarter, and close to 12,000 people compared to September of last year. Close to 60% of our Q3 hires were recent college graduates who will enter our training program, and the remainder were lateral hires of experienced IT professionals. Based on our 2006 revenue expectations and our ongoing success in recruiting, we currently expect to finish 2006 with approximately 38,000 employees and we are moving along well towards this goal, with over 35,400 people in the company as of today. As Franciso discussed earlier, turnover, including voluntary and involuntary, was approximately 20% annualized during Q3 compared to 16% in Q3 of 2005. On a trimmed 12-month basis, which is how attrition is reported by many in the industry, our total attrition was 15%, compared to 14.5% for the 12 month period ending September 30th 2005. Onsite utilization increased slightly to around 88% for the quarter. Offshore utilization, excluding recent college graduates who were in our training program during the quarter, was approximately 73%. Including trainees, offshore utilization was approximately 58% for the quarter. We had over 4,000 unbilled people in our training program at the end of the quarter. I would now like to comment on our growth expectations for the remainder of 2006. As Lakshmi and Francisco mentioned earlier in this call, the investments we are making are producing results. It is allowing us to differentiate ourselves in the marketplace, both in terms of winning and growing new clients, and expanding our service offerings. In addition, our client and employee satisfaction levels remain at a level at which we are proud. This has resulted in stronger than expected results in Q3, and is allowing us to significantly increase our guidance for 2006. We are now projecting revenue for Q4 of 2006 of at least $405 million. This represents over 7% sequential growth, and more than 57% YoverY growth. Q4 has approximately 2% fewer billing days than Q3. We continue to have significant revenue visibility due to our high level recurring revenue and the long-term nature of our customer relationships. In fact, today we have customer commitments for well over 90% of our Q4 revenue guidance. For the full year 2006, based on the strong demand environment for offshore services and our favorable experience on ramp-up rates, we now project the revenue to be at least $1.405 billion, up $25 million from our most recent guidance and up $145 million from our initial guidance for 2006. This represents growth of more than 58%. As has been typical in prior years we expect the majority of our growth for the remainder of 2006 will come from the ramp-up of clients we have won over the past few years. During the remainder of 2006, we intend to closely monitor our spending and expect our operating margin for the remaining quarter to remain in the range of 19% to 20% before the impact of stock-based compensation, in line with our historic margin level and prior guidance. As stated on previous occasions, please note that our operating margin target excludes the impact of equity-based compensation. With this expected level of revenue growth and our expected operating margins, we are currently comfortable with our ability to deliver in Q4 GAAP EPS of $0.42 and non-GAAP EPS of $0.47, excluding equity-based compensation expense of $0.05. This guidance includes the anticipation of a Q4 share count of approximately 151.8 million shares, a tax rate equally to our YTD rate and an operating margin in the upper half of our guidance range once again excluding equity compensation expense. Based on current business trends, we are increasing our expected GAAP EPS guidance for the full year 2006 to $1.51, up from our prior guidance of at least $1.45. On a full year non-GAAP basis, we expected EPS of $1.68, excluding equity-based compensation expense of $0.17. This guidance includes the anticipation of a full year share count of approximately 150.6 million shares. Finally, today we announced a significant expansion of our real estate construction plans in India. Through this expanded program, which includes the expenditure of over $200 million through to the end of 2008 on land acquisitions, facilities, construction and furnishings, we plan to build newly wholly-owned techno complexes that will significantly increase our existing campus footprint in India with the addition of over 3 million square feet of capacity for over 30,000 new employees. We plan to develop state of the art techno complexes and expand our infrastructure in Chennai, Coimbatore, Hyderabad, Kolkata and Pune. These campuses are planned to be built in regions designated as special economic zones. Construction is expected to being in Q1 2007, and continue through the end of 2008. In addition to construction of these facilities, we will continue to lease additional facilities throughout India as required to meet our headcount growth requirements. This investment is consistent with our strategy of making ahead-of-the-curve investments in our people and infrastructure. As we planned for the next phase of Cognizant’s growth, we are focused on building scale up to address the needs of our business around the world, building larger, Cognizant-owned facilities is a key part of this strategy. Now we would like to open the call for questions. Operator?
Operator:
Operator instructions.:
Q - Julio Quinteros – Goldman Sachs : Real quickly, Gordon, on the increase in the employee turnover, one of the things that I want to understand is how you look at the increase in employee turnover relative to how your hiring plans have changed. Can you relate it to lateral hires versus college hires? How has that profile changed and have we seen a high correlation in that change relative to the increase in turnover?
A - Lakshmi Naravanan : Julio, that’s a good question. I think the turnover continues to be predominantly at the people who are under two years in the organization. The turnover at the senior levels and the mid levels continues to be consistent with the prior quarter, there’s no significant increase. As we have stepped up the hiring of college graduates, we see a slight up tick in the attrition rates there. Primarily one of the key drivers appears to be people going for higher education after completing a certain time there. We have to do some more analysis to get to the bottom of what the other influences are. The point that you’re making, it’s primarily at that low tenure level.
Q - Julio Quinteros – Goldman Sachs : Can you compare where you were a year or two ago on laterals versus college hires, and where you are right now?
A - Lakshmi Naravanan : In terms of the overall concentrations, a year ago – I mean, I’d be able to give an approximate, but there’s a slight shift towards an increased number of college graduates that are coming into the company compared to laterals, compared to the year-ago number.
Q - Julio Quinteros – Goldman Sachs : Okay, then one last question for Gordon: on the tax impact of the new SEC bill, as we look at that in 2009 and beyond, how do we think about the tax rate as we go into the 2009 and 2010 timeframe and the holiday comes to an end for some of the other facilities?
A - Gordon Coburn: It’s difficult to project it, Julio, as discussed in the past. The key will be how much of our growth between now and 2009 will go into special economics zones. Obviously the more of our growth we get into special economic zones, the less the impact will be of the phase out of the current tax holidays. Obviously that’s the big reason why we’re doing this construction program and why it’s focused on special economic zones. You would certainly expect, assuming that there’s no changes in current regulations, you would certainly expect a jump in our tax rate in 2009 and by moving as quickly as we can, our growth towards special economic zones, the idea is that will help mitigate the jump.
Operator: Your next question comes from Alan Hellawell – Lehman Brothers.
Q - Alan Hellawell – Lehman Brothers : Thanks, this is (inaudible) here from Lehman. Just a quick question for you guys, with the headcount additions, can you give us more color on which regions those were in?
A - Gordon Coburn: Sure, the headcount additions are across the board. Overall, our mix shifted slightly offshore in Q3, but we are hiring – obviously we’re investing heavily in Europe, we’re hiring in Europe, we’re hiring in the US – both local hiring we have increased substantially as well as obviously we transfer experienced people from our development operations in India, so the hiring is global.
Operator: Your next question comes from George Price – Stifel Nicolaus.
Q - George Price – Stifel Nicolaus : Nice results. Just a couple of questions. Gordon, first up, in the interest income, that was actually down QoverQ, I believe, despite the higher cash balances. Was I reading that right?
A - Gordon Coburn: No, you’re probably combining foreign exchange losses and – last quarter we had a big FX gain, interest income was actually up about $900,000 sequentially.
Q - George Price – Stifel Nicolaus : Could you talk a bit about what you’re seeing in early signs, as you’re looking into 2007? Obviously we’ve been seeing what appears to be some demand acceleration recently. If you could maybe give us your thoughts on whether there’s anything in particular that’s driving that now and how you see it extending next year?
A - Francisco D’Souza: This is Frank. We continue to see strong demand across all of our industry verticals. We’ve talked about the key drivers in the past. There are three drivers we are seeing, one is expansion, acceleration as customers in Europe start getting comfortable with the off-shoring phenomenon. The second is the increasing portfolio of services that we’re taking back to our client base, so we’re extending the service offerings. We talked about BPO and IT infrastructure services, for example, on this call, so as those service lines start to emerge and mature for us, we’re taking those across our existing client base and of course new clients as well. Then of course the third driver is new industries that historically have not adopted off-shoring or have been limited adopters of off-shoring are now coming online and we’re seeing traction in new industries like media and entertainment and so on and so forth, that historically perhaps didn’t do as much as the more mature industries like financial services and healthcare.
Q - George Price – Stifel Nicolaus : Last thing, levels of pricing in the quarter and your view on pricing trends for existing business as it rolls and new business that’s coming on? Thank you.
A - Gordon Coburn: Pricing for 2006, that’s the current year, is coming in right about where we expected with average realized rates up 1-2%. We’re currently in the process of discussing potential rate improvements for 2007 with our clients. Similar to many others in the industry, we are seeking to achieve on average an increase slightly higher than what we achieved in 2006. Obviously it will be another two months or so before we finish up this 2007 planning process with our clients and know where things are likely to end up. One of the nice things about the relationships we had with our clients is it’s very much a collaborative planning process, which goes on in the fourth quarter of each year. We sit down, look at what the client wants to achieve and help them do that. That helps to give us a good picture into what 2007 will look like.
Operator: Your next question comes from Joseph Foresi – Janney Montgomery Scott.
Q - Joseph Foresi – Janney Montgomery Scott : My first question is, Gordon, can you give me some idea of what the onsite/offshore revenue split is this quarter?
A - Gordon Coburn: Sure. The onsite/offshore headcount split, we’ve shifted slightly offshore. We moved about one percentage point offshore so we’re roughly 75% offshore, 25% onsite for headcount. We don’t track revenue on an onsite/offshore basis, but if you eyeball it, it’s around 40% of our revenue that’s offshore, 60% onsite. Obviously there’s a differential on the billing rates, but that’s not a number we track exactly. We focus more on the headcount mix.
Q - Joseph Foresi – Janney Montgomery Scott : Has that trended towards more offshore over the last couple of quarters?
A - Gordon Coburn: Very slightly. We’ve been running at about 24.5%-27% over the last 12 quarters.
Q - Joseph Foresi – Janney Montgomery Scott : Two more quick questions here, on the pricing front, I know you said you’re going back to the client and you’re raising it 1% of 2%, I was wondering if you could give us some rough idea of what that was up sequentially, both onsite and offshore?
A - Gordon Coburn: Sure. The 1% to 2% is what we have achieved for 2006. As we’re going back to the clients for 2007, we’re trying to potentially get rate improvements a little bit stronger than that, so we’re just starting those conversations. For this year, on a sequential basis, our onsite rate was up about 2%, our offshore rate was up about 0.5%. On a full year basis, about the same percentage or so. We’re running about 1.5% average rate improvement compared to the same time last year.
Q - Joseph Foresi – Janney Montgomery Scott : My last question is on the attrition rate. Could you give us some idea of how, if there is any impact on any particular contracts with the turnover moving up, or are you being able to actually view that as the numbers would be inclined and is there anything you haven’t placed a handle on the situation going forward? Maybe just a little more color there?
A - Francisco D’Souza: This quarter we’ve been able to manage the delivery to clients despite the increase in attrition in the quarter without impacting quality. As we said, we’ve recently concluded both employee and customer satisfaction surveys, which are conducted by third parties independently on an annual basis. Both of those numbers are holding and the employee stats are trending upwards. The customer stats historically are very high and continue to be very high. We believe that the attrition has not impacted our delivery to clients. What we do and we’ve done this for some time, we deliberately have maintained the utilization levels in India at strategically lower levels and we’ve consciously made the decision over some time to keep utilization managed at lower levels in order to be able to deal with attrition, unexpected ramp ups and so on and so forth. I think that bench that we built over time has helped us to manage this spike in attrition.
Operator: Your next question comes from Julie Santoriello – Morgan Stanley.
Q - Julie Santoriello – Morgan Stanley : A follow up on the issue with the new facilities and the investment that you’re making there. Some of the cities where you’ll be building out are, I guess, we can call them tier two cities in India at this point. I’m wondering if you think that will be able to help the employee turnover number?
A - Lakshmi Naravanan : If you look at some of the locations where we plan to build out, Coimbatore, Hyderabad, Pune are locations where we have found the attrition is lower than the company average. We believe that these university towns which produce a lot of engineering graduates and business school graduates will help us in terms of both being able to hire increased numbers as well as keep the attrition low as we build out these complexes there. Traditionally, they enjoyed low attrition levels in places like Chennai and Coimbatore, which are the places where we tend to dominate.
Q - Julie Santoriello – Morgan Stanley : In terms of other geographies, are customers at this point asking you to begin to look to expand into other areas, especially as you grow BPO? We’re hearing more and more about eastern Europe and China and less about the US – is there something that’s on your radar screen for the next year?
A - Lakshmi Naravanan : It is very much on our radar, we continue to see on the IT side, demand for clients expressing interest in China and doing work out of China. China represents a very large talent pool, as you know, and we’re beginning to now see clients increasingly dipping a toes in that water and trying to get some experience on the ground. We have not seen large scale ramp up in China as yet, but there are a lot of clients now who are saying let’s put some pilot projects into China to understand what the dynamics of doing business in that part of the world are. We’re also starting to see, in building our offshore presence in places like Canada and also in the Netherlands, plus certain countries in Europe. On the BPO side, at this point our focus in BPO is in India. We are looking at geographies, but given that our BPO business is relatively nascent, I don’t think you’ll see us moving into other geographies for the next few quarters.
Q - Julie Santoriello – Morgan Stanley : Finally, I know you’re in the midst of your year-end customer conversations, but can you give us an early read on what you’re hearing, what your sense is of the discretionary spending environment for 2007.
A - Gordon Coburn: It’s a little too early to have that read. We’re not – we’re certainly having very positive conversations with our clients. They’re still in the process of finalizing their budgets. They’re in the same cycle that we are, where they have their budgets under review right now, so I’m not sure if they have all the answers. We’re certainly not hearing anything negative. Are things up a little, are they up more than a little – it’s a little too early to know that.
Operator: Your next question comes from Adam Frisch – UBS.
Q - Adam Frisch – UBS : Quick housekeeping, Gordon the 60% revenue growth, was that YoverY or sequential?
A - Gordon Coburn: Hang on… that was…
Q - Adam Frisch – UBS : I’m just kidding, I’m trying to make a point. On attrition, obviously that’s the one negative data point, but it’s just in one quarter. It’s kind of too early to start questioning execution here given your company’s track record, but it is going to be a point that people are looking at. Can you just give us a little bit more color on whether obviously October is down, was this a one quarter thing? Was it just a spike and you have it under control? How are you trying to mitigate it? Most importantly, does it threaten future growth or your margin outlook?
A - Gordon Coburn: A couple of things, first of all this is not the first time this has happened. Each year we’ve had a spike like this once or twice in the past. It is coming right back down or not? It’s a little too early to know. October is a bit better than Q3, we’re still watching it. We’ve been very successful in the past when it’s spiked up at getting it back under control. We feel good that we can lash it down. We don’t want to do anything that’s a knee jerk reaction. We want to thoroughly understand what’s caused it and get rid of the problem. We have a very good track record of doing that. In terms of it impacting growth, I think the answer’s no. I don’t see that impacting growth. We carry a very deep bench, we’ve been very successful in meeting our recruiting targets. Obviously we’ve taken our target headcount for the year up which is a testament to the fact that obviously we believe we should be able to hit those goals. Are we disappointed that it went up in Q3? Yes. Are we addressing it directly and making sure that we manage it to where we want? The answer’s yes to that as well.
Q - Adam Frisch – UBS : So no threat to growth or margins mid-term?
A - Gordon Coburn: At this point we don’t know.
Q - Adam Frisch – UBS : Thanks for the clarification there. Your strategy for headcount growth and utilization, specifically the 58% on the offshore, kind of popped out at me. In the past you’ve been wanting to build your bench because your product and services offering was expanding. What’s your strategy? You’re pretty clear on those things, but what’s your strategy heading into 2007, maybe even into 2008 in terms of what you guys are thinking about your headcount and mix of utilization?
A - Gordon Coburn: We will continue to carry a deep bench while we’re in a high growth mode. It’s the right thing to do for the client. Obviously we have the luxury of running a bit lower margin of many of our competitors so we can make that investment and do what’s right for the client. So we’ll continue the strategy of having a deep bench. Obviously we’ll bounce it about from quarter to quarter depending on when the trainees come in and all that kind of stuff, but in 2004 and 2005, we brought utilization down substantially. Strategically, we’re not trying to change it from where we are.
Q - Adam Frisch – UBS : Okay, the past couple of quarters it’s been around 53% including trainees offshore. Do you see that in Q4 and into 2007 or is this like a one quarter balance or something?
A - Gordon Coburn: In Q2 and Q3 it was up around – I think Q2 was 57% and Q3 was 58% but Q1 was only 53%. The idea is to keep it in the 50s somewhere. I’m not saying exact numbers but it can bounce around with seasonality. If you look at the guidance of headcount additions to revenue growth for Q4, obviously it would indicate that Q4 was trying to bring it back down a little bit.
Q - Adam Frisch – UBS : Sounds good. In the past, when the stock has gotten to higher levels, you guys have decided to split it. Any discussions about that recently? Does that kind of go away with the use of options going lower?
A - Gordon Coburn: It’s something we always think about, something that there’s no current discussions on.
Q - Adam Frisch – UBS : Final question on the M&A strategy, looking forward we’ve seen some combinations like Cap Gemini Kanbay, before we had Kanbay, a consulting firm for domain expertise, so we’re seeing the domain expertise/offshore mix kind of coming together a bit more. Do you guys plan on growing that internally or are you sticking with, if you see an opportunity for a bolt on you’ll do it but you don’t want to do anything too big, because obviously you’re demonstrating good organic growth? Is your outlook changing there at all?
A - Lakshmi Naravanan : Absolutely. Our growth has been very strong. The organic growth has been extremely strong. It’s very, very strong within the organization, which we want to retain, and that’s given us a great growth story. We continue to focus on some of these niche companies and have had some type of acquisitions which bring in some capability in industry verticals. That has helped us in the past and working that is a very good strategy for us. It’s starting some new offerings for industry verticals. That will continue to be our strategy, it’s unlikely that we’ll go for any large type of acquisition.
Operator: Your next question comes from Moshe Katri – Cowen and Company.
Q - Moshe Katri – Cowen and Company : Can you comment on the relationship between headcount growth, especially as an indicator for revenue growth, and just again you were saying you’re going to end up this year at 38,000 for head count. There’s a 56% increase YoverY. This year you’re going to grow revenues roughly 58.6%. If you go back another year, I think in 2005 you ended at 24,300, and that was your headcount up 58%. Your growth was 51%. Can you kind of say in terms of how we should focus on headcount growth as a proxy for revenue growth, especially when we’re looking into next year?
A - Gordon Coburn: In 2004 and 2005, we grew headcount faster than revenue. That was part of what was coming out earlier. Strategically we were trying to reduce utilization. We finished that process by the end of 2005. Now, give or take a bit, headcount and revenue should track somewhere close and then obviously rate increases and the impact of the onsite/offshore mix. We’ll have some seasonality in that, obviously utilization can impact just a little. There will never be a perfect correlation particularly since we carry such a deep bench, because obviously in quarters where revenue is strong we can reach into the bench and other quarters obviously we’ll replenish the bench. On a long-term basis, there certainly should be some correlation. That would be on a long-term basis rather than on a short term basis.
Q - Moshe Katri – Cowen and Company : On the comment about pricing, it seems that most of your competitors are – it seems you’re sending signals to one another at a tier one level that you’re planning to raise bill rates. When do you think you’re going to have a good indicator of whether these bill rate increases are going to stick with your existing clients?
A - Gordon Coburn: As we said, we’ve a very collaborative process with our clients. This quarter, when we’re sitting down with each of our clients, both our account managers, our client partners and the executive team, and having a discussion in terms of what are their strategic objectives, what additional services do we want, what pricing makes sense for everyone, when those discussions are done we’ll have a sense of – or at least an initial view on where pricing will be for 2007. That process sort of finishes up at the end of the year, beginning of January.
Q - Moshe Katri – Cowen and Company : Then finally, looking at your 82 strategic clients, is there a way to quantify the percentage of revenues that are generated from those 82 strategic clients today?
A - Gordon Coburn: I don’t have the exact number, but it would certainly be a significant majority of our revenue.
Q - Moshe Katri – Cowen and Company : What do you think is Cognizant’s penetration today, within these strategic client bases, in terms of their potential IT services spending budget?
A - Gordon Coburn: That’s probably one of the most interesting questions, because it’s a moving target. As we’re expanding our service offerings, the slice of the client’s budget that we’re eligible for keeps expanding. Therefore the penetration rate keeps getting reset. Now we’ve moved a whole lot, when we look at a macro level, we’re 20-30% penetrated in terms of what clients think they want to do with us.
Operator: Your last question comes from Mark Marostica – Piper Jaffray.
Q - Mark Marostica – Piper Jaffray : Just back on attrition again, you mentioned October attrition was better than Q3, but how does it compare to a year ago period, October of 2005?
A - Gordon Coburn: I’ve not looked at that, sorry. We don’t track exactly – it’s mostly on a monthly basis.
Q - Mark Marostica – Piper Jaffray : I wanted to ask a question on AimNet and the degree of customer overlap you currently have and any progress on the initiatives to gain more overlap?
A - Francisco D’Souza: The overlap between AimNet’s customer base and Cognizant’s customer base was relatively small. We had just a small handful of common customers. Those customers obviously we continue to focus on, and in general have viewed the Cognizant acquisition of AimNet as a very positive thing. AimNet have a lot of smaller customers and they also have a lot of indirect customers through channel partners, that they had established. We are focusing on taking the AimNet capability to Cognizant’s core customers, the strategic customers of Cognizant that we’ve been talking about. That conversation has been very positive. The combination of the offshore network operation center that Cognizant had already established with the AimNet network operation center here in the US, that combination is extremely powerful and we’re seeing good interest from our client base for that offering.
 Lakshmi Naravanan : All right. Thank you again for joining our call today. In conclusion, we are very pleased with our financial and operating performance in Q3 and the first nine months of 2006. We continue to be very confident in our business strategy and the platform we have in place to take the companies forward through the mixed phase of our growth into 2007. We look forward to talking to you all in the next quarter. Thank you very much.
Operator: That concludes today’s conference call. You may now disconnect.